Operator: Good morning, everyone, and thank you for participating in today's conference call to discuss Climb Global Solutions' financial results for the second quarter ended June 30, 2025. Joining us today are Climb's CEO, Mr. Dale Foster; the company's CFO, Mr. Matthew Sullivan; and the company's Investor Relations adviser, Mr. Sean Mansouri with Elevate IR. By now, everyone should have access to the second quarter 2025 earnings press release, which was issued yesterday afternoon at approximately 4:05 p.m. Eastern Time. The release is available in the Investor Relations section of Climb Global Solutions website at www.climglobalsolutions.com. This call will also be available for webcast replay on the company's website. Following management's remarks, we will open the call for your questions. I would now like to turn the call over to Mr. Mansouri for introductory comments.
Sean Mansouri:
Elevate Ir: Thank you. Before I introduce Dale, I'd like to remind listeners that certain comments made on this conference call and webcast are considered forward-looking statements under the Private Securities Litigation Reform Act of 1995. These forward-looking statements are subject to certain known and unknown risks and uncertainties, as well as assumptions that could cause actual results to differ materially from those reflected in these forward-looking statements. These forward-looking statements are also subject to other risks and uncertainties that are described from time to time in the company's filings with the SEC. Do not place undue reliance on any forward-looking statements, which are being made only as of the date of this call. Except as required by law, the company undertakes no obligation to revise or publicly release the results of any revision to any forward-looking statements. Our presentation also includes certain key operational metrics and non-GAAP financial measures, including gross billings, adjusted EBITDA, adjusted net income and EPS and effective margin as supplemental measures of performance of our business. All non- GAAP measures have been reconciled to the most directly comparable GAAP measures in accordance with SEC rules. You'll find reconciliation charts and other important information in the earnings press release and Form 8-K we furnished to the SEC yesterday. I'll now turn the call over to Climb's CEO, Dale Foster.
Dale Richard Foster: Thank you, Sean, and good morning, everyone. As you can see, we had another strong quarter with material increases across all of our key financial metrics. During the quarter, we generated double-digit organic growth by strengthening relationships with customers, growing our line card with new innovative vendors and expanding market share in both the U.S. and Europe. We also benefited this quarter from the incremental contribution and seasonal strength of our acquisition of Douglas Stewart Software or DSS, which typically sees higher demand for education customers as they ramp up ahead of the next school year. Our Climb team continues to identify and align with the most innovative technologies in the market to not only strengthen our vendor ecosystem, but also address increasingly complex challenges our customers face. In Q2 alone, we evaluated 50 potential vendor partnerships and move forward with just 4 of them. This disciplined approach reflects our commitment to quality over quantity and our focus on delivering differentiated high-impact solutions that drive long-term value across our platform. Let me take a moment to highlight a few of these wins. First, we announced the partnership with Ignite, a leader in secure content collaboration intelligence and governance. This partnership enables us to offer Ignite's cloud-native platform to our partners, their customers across the U.S. reinforcing our commitment to the expanding access of transformative technologies. By adding Ignite to our line card, we are equipping resellers with a trusted, scalable platform that fits seamlessly into both SMB and enterprise environments. This partnership underscores our mission to deliver partner-first technologies that move with speed of the modern business. In Q2, we also -- our Climb's U.K. and Ireland team secured an exclusive distribution agreement with IGEL, a global leader in secure endpoint OS solutions for U.K. and Ireland. This milestone builds on the partnership that we began in 2016 with DataSolutions out of Ireland, which we acquired in 2023. Our ability to drive lead generation and expanded IGEL addressable market in the region led to the sole distribution agreement further validating our strength of our channel reach, execution and commitment to Europe. We look forward to continuing our partnership with IGEL as we scale together in these key markets. In June, we brought on Vishal Pushpa, Climb's Chief Information Officer. Vishal is a dynamic IT executive with more than 2 decades of strategic leadership across high-tech manufacturing, logistics, distribution, services -- and services. Vishal has led large-scale ERP, CRM and HCM transformations and has overseen complex M&A integrations and driven a deployment of cutting-edge cloud solutions, AI and automation and enhanced security infrastructure. He brings a visionary approach to innovation and has a strong track record of fostering global calibration and anticipating future technology trends, We are pleased to have him join the Climb family and look forward to his invaluable contributions. In addition to Vishal's appointment, in May, we announced the promotion of Carlos Rodrigues to our President of North America. Carlos has been a key leader at Climb since 2020, bringing more than 20 years of experience in value-added distribution and a proven track record of driving growth across North America. Since joining Climb, he has played a pivotal role in expanding market share, building high-performance sales teams and strengthening strategic vendor relationships. In his prior role as Vice President of Sales, Carlos led the development of Climb's dedicated vendor management team and has also consistently delivered impactful results through alignment and partner engagement. In this new role, as President, Carlos will oversee the North American sales with a focus on accelerating growth, deepening vendor and partner success and further expanding Climb's market presence. We're excited to see Carlos bring his leadership and vision to this new role as we continue -- to his new role as we continued executing on our growth strategy. Looking ahead, we're focused on building on the momentum from the first half of the year by continuing to execute against our strategic priorities. With our ERP system now fully in place, we're beginning to realize the benefits of improved operational efficiency and scalability, positioning us to drive stronger operating leverage as we grow. Additionally, we're actively evaluating strategic M&A opportunities in North America and overseas that align with our long-term vision and can expand both our capabilities and geographic reach. These initiatives, coupled with our robust balance sheet and demonstrated track record of success will enable us to deliver on both organic and inorganic objectives in 2025 and beyond. With that, I will turn the call over to our CFO, Matt Sullivan, to take you through our financial results. Matt?
Matthew Sullivan: Thank you, Dale, and good morning, everyone. A quick reminder as we review our second quarter financial results, all comparisons and variance commentary refer to the prior year quarter unless otherwise specified. As reported in our earnings press release, gross billings in Q2 of 2025 increased 39% and to $500.6 million compared to $359.8 million in the year ago quarter. Distribution segment gross billings increased 40% to $477 million and Solutions segment gross billings increased 19% to $23.5 million. Net sales in the second quarter of $5 million increased 73% to $159.3 million compared to $92.1 million, which primarily reflects double-digit organic growth from new and existing vendors as well as contribution from our acquisition of DSS in July last year. Gross profit in the second quarter increased 42% to $26.3 million compared to $18.6 million. Again, the increase was driven by organic growth from new and existing vendors in both North America and Europe as well as contribution from DSS. Gross profit as a percentage of gross billings increased to 5.3% compared to 5.2% in the year ago period. SG&A expenses in the second quarter were $16.4 million compared to $13 million for the same period in 2024. SG&A from DSS accounted for $900,000 of the increase. SG&A as a percentage of gross billings decreased to 3.3% in Q2 of 2025 compared to 3.6% in the year ago period. Net income in the second quarter of 2025 increased 74% to $6 million or $1.30 per diluted share compared to $3.4 million or $0.75 per diluted share for the comparable period in 2024. Net income was impacted by a $400,000 charge related to the change in fair value of acquisition contingent consideration associated with DSS. Adjusted net income increased 68% to $6.4 million or $1.39 per diluted share compared to $3.8 million or $0.83 per diluted share for the year ago period. Adjusted EBITDA in the second quarter increased 64% to $11.4 million compared to $6.9 million in the prior year quarter. The increase was driven by the aforementioned organic growth from both new and existing vendors as well as contribution from DSS. Adjusted EBITDA as a percentage of gross profit or effective margin increased 600 basis points to 43.3% compared to 37.3% in the year ago period. Turning to our balance sheet. Cash and cash equivalents were $28.6 million as of June 30, 2025, compared to $29.8 million on December 31, 2024, while working capital increased by $12.2 million during this period. The decrease in cash was primarily attributed to the timing of receivable collections and vendor payments. As of June 30, 2025, we have $500,000 outstanding -- of outstanding debt with no borrowings outstanding under our $50 million revolving credit facility with JPMorgan Chase. On July 29, 2025, our Board of Directors declared a quarterly dividend of $0.17 per share of our common stock payable on August 15, 2025, to shareholders of record on August 11, 2025. To echo Dale's earlier comments, we're continuing to explore strategic acquisitions that align with our high-performance culture and strengthen our ability to meet evolving customer needs. With a robust balance sheet, we're well positioned to pursue opportunities that complement our existing portfolio and accelerate growth in key markets. This momentum is a direct result of our team's hard work and execution and we're excited to carry that forward as we advance both our organic and inorganic growth initiatives throughout 2025. This concludes our prepared remarks. We will now open it up for questions from those participating in the call. Operator, back to you.
Operator: [Operator Instructions] We'll take our first question from Vincent Colicchio with Barrington Research.
Vincent Alexander Colicchio: Dale. Good quarter. My first question is, did security and data center continues to lead growth in the quarter? Or is it broadening out somewhat?
Dale Richard Foster: It has. Those are our top 2 and security being the stronger of those 2, Vince. But yes, those are leading it. And it kind of makes sense, right, in the security market continues to heat up. And then in the data center space as we keep bringing in tools that are either data migration tools or storage tools, that's going to be our leader for quite some time.
Vincent Alexander Colicchio: And how did your top 20 vendors perform versus the overall business? Are they keeping track staying at a pace in line?
Dale Richard Foster: If you take a look at our -- when you say the top 20, there's probably like 5 or 6 at the bottom end of that from 12 to 20 or taking -- go into the 20 as we have some of the other ones jump forward. Some of the ones we've talked about Darktrace is going to make more of an impact as we go through the rest of this year as we just got started with them and just got out -- basically, our teams aligned as we announced it and then that is going to be the biggest impact for the second half of the year. But yes, it's new entrants that can get into that top 20. Nothing really has changed that much in the top 10, but from 10 to 20, yes, we have jumping ones that are just performing better in the quarter.
Vincent Alexander Colicchio: And were there any large deals which made this quarter especially strong, which may not necessarily recur in the following quarter?
Dale Richard Foster: Yes. So what we do is we talked about this and we argue internally what we call out VAST Data because we consider it organic because we've had that company for, what, 3 years now? So we get lumpy with that. We had a VAST order that we budgeted for Q3 that got pulled into Q2. So we'll have to make that up in Q3. But -- so that definitely helped the quarter out to put us over the top. But just organically without that, we were still growing at a very good clip.
Vincent Alexander Colicchio: And are you seeing meaningful synergies as of yet from the Douglas Stewart acquisition?
Dale Richard Foster: We do. So we already announced that they're on our ERP systems and also there are lines have moved into our common portfolio of vendors we still are carving out and calling, hey, we can go after this K-12 and higher ed space. And this is -- just like I said in my comments, this is the growth -- the excitement period for that is everybody is going in school year and everybody is extinguishing their budgets by the states in the end of June and then buying new going into the new school year. But yes, I mean, we have integrated that team into our teams. Our teams -- we have 14 teams, regional teams and then some dedicated teams in North America, and they're already not only quoting processing, but also learning the Douglas Stewart product lines.
Operator: [Operator Instructions] We will move next with [ Howard Root ], Private Investor.
Unidentified Analyst: Congratulations. I mean that was just another outstanding quarter. Very little to explain actually in the results. It's kind of hard to find stuff to pick on. But the -- I got a couple of questions. I guess, first on a couple of little things on the income statement. I've always looked at it as your gross margin as a percent of gross billings and that, as you said, moved up from 5% to 5.3%. And it's always that 5% was kind of the target. Is that a trend? Or is that just a little bouncing around? Or how do you see that going forward on gross margin?
Matthew Sullivan: Thanks, Howard. That -- so yes, for Q2 of this year, we went from 5.2% of Q2 last year to 5.3% for this quarter. And internally, we continue to project it to be in that 5%, 5.1%. The real driver of that higher percentage -- a slightly higher percentage this quarter was the timing of that, the lumpy transactions that Dale just alluded to. Some have higher margins as they're -- than our typical base business. But that's what really contributed to the higher gross profit as a percentage of gross billings.
Dale Richard Foster: But -- good question. And thanks for the question, Howard. But it's not going to be a trend that we're going to continue to see that expand, it'll just be lumpy, just like it is before because VAST, they have big orders and they have typically a lot of margin with them. It's something that we look at like Matt said, can we do -- and we get asked by investors all the time, can we expand our margins, it's going to be with expanding our solutions team. And then as we've talked about, we want to add more services to the company, that will help move that up in the basis point. But right now, still continued in that 5% to 5.1% range.
Unidentified Analyst: And then on SG&A, I mean that jumped up by 28% year-over-year, but your gross billings went up by 39%. So your percent goes from 3.6% down to 3.3%. And with you implementing ERP and growing and setting the stage, I mean, that's all understandable. But how do you see that going forward? Do you see that getting closer to 3% of gross billings? Is that going to be a trend?
Matthew Sullivan: I think the percentage that you saw this quarter is what we expect to see as we move forward. So we had a $900,000 contribution -- $900,000 contribution of DSS this quarter that we didn't have in the prior year quarter. But that 3.3% range is more consistent with what we expect going forward.
Dale Richard Foster: Yes. And Howard, so DSS wasn't a comparable from last year because we acquired them in July of last year. So that's the added SG&A. But on a -- we've integrated, they didn't have a lot of infrastructure. So if you look at, hey, can we clear out some of the back office, it's more about mending the teams together and then looking for efficiencies in that play. But that's the -- biggest thing is the DSS expenses.
Unidentified Analyst: And then kind of on your international side, is there anything material on tariffs or on currency fluctuation that you see right now that could affect things going forward?
Matthew Sullivan: So we talked about the tariff, we've had no real impact. And we have legal entities in the U.K. and Ireland and some of the other EU countries. So we can play with that as far as we're dealing with and shipping. So we haven't had impact on that. One thing we have board meetings, of course, before these earnings calls and we talk about our FX and how we deal with that. And we're just trying to come up with better schemes to deal with our currency because most of our vendors were buying in U.S. dollars, so any kind of fluctuation as the dollar got weaker, we're going to have that impact. So we're doing some hedging, but we're looking for better strategies because we have realized and unrealized gains and some -- one quarter over another will affect us. And then a lot of times, we'll get that pickup but it will be in a quarter or 2 quarters down.
Unidentified Analyst: So then looking bigger picture. I kind of look back, it was back Q3 of 2022. So less than 3 years ago, you crossed over into the $1 billion in gross billings, and now you're costing $2 billion and back on the call, I asked how does this continue? I mean, $1 billion is a big number. And your response was, in your market, $1 billion still small potatoes that there's really a lot of area going forward, which you've proved yourself correct over the last 2-plus years. But as you cross the $2 billion, do you still see that? I mean you still see yourself as a fairly small player in the overall market with the potential to continue this type of growth going forward? Or when will you reach kind of a little bit of a limitation large -- the limits of large-sized numbers?
Matthew Sullivan: You're right. I mean we are still such a small player. And I can just give you some inside baseball, we meet with vendors. We talked about this quarter, we met with 50 different vendors. The vendors have choices, how they want to go to market. And once they choose distribution, they get the big 3, right? We got Ingram Micro, SYNNEX Tech Data and Arrow and that is worldwide. Those are the big 3. The next largest one, I would say, Exclusive Networks is in the $5 billion to $6 billion range. They just got taken private in Q1 or the end of Q1. So we're still extremely small. But when these vendors come in, we talk about these big players, but we're talking about competing them in such as -- one of their smaller divisions. So our headroom between $2 billion and $3 billion, I would say, okay, that's a big gap so we can grow a lot. But if we take a look at where they actually compete against us in software application, service security, data center only because we're still different in that space. we still have, I would say, it's $2 billion to $20 billion. So compare it that way. It's a lot of headroom that we can go before we'd be -- where we're disruptive to them where they would say, hey, we need to make some kind of move. And we're just not that disruptive, then we think we can still grow under that umbrella of being that emerging high-touch fast to market channel partner.
Unidentified Analyst: I mean that's just so unusual for me that it's just kind of a little bit hard to believe, but you've proven me wrong.
Dale Richard Foster: Well, Howard, if you -- and we've talked about this, if you look at our market, all the roll-up of distributors in the United States ended up in 2013. So there's nobody, right? We have these 3 massive ones that are worldwide, but really focused in North America and then us. And there are some other ones that are on the adjacent market space, but nothing that's directly competitive. And then Charles, our CMO loves to say, hey, there could be 2 or 3 more Climbs in our space, and we still would have that many vendors to look at and that many vendors on board. It's shocking how many $100 million ARR SaaS vendors are out there that we even touched it. The ones we touch, we -- maybe they're not ready for us, maybe we're not ready for them, but there's a lot of them to choose. And that's the excitement of our market. A lot of good acquisition targets overseas and a lot of good vendors coming into our space.
Unidentified Analyst: I appreciate it. And then final question for me is just a little bit -- if you could talk a little bit about your acquisition process and what you see out there in terms of the market for potential acquisitions and the valuation that you're seeing? And then how you view currency to do the acquisition, what you've done so far has been cash and so a little bit of debt, which you've done a great job of making it accretive almost immediately and paying off the debt. But how do you see it going forward? Because I assume you're looking at a couple of bigger things as well as more things like what you've done already?
Dale Richard Foster: Yes, correct. So this year, Howard, we're looking at ones that we would just use cash for. They're not that big, but they would be strategic for us. So we look at it -- we have a strategic plan as far as acquisitions. We're looking at services companies because we want to add that, and there's 2 reasons for that. We like the margin profile. We want to become more sticky with vendors that we currently have. And if we have services, and if you look at the vendors, right, they're making 80% of margins selling their product. Why would they have an internal services team just for customer set when they're only making 30%. So if they can offlet that to the channel, that's perfect for us. We won't compete with our customer base, but when they don't have those capabilities and the vendor wants us to do that, that's what I want to build into the company. So there's a couple of small ones we're looking at there. And then outside of that 2026 spot on, like what can really move the needle for Climb, it's not strategic. It's going to have to be much more sizable. And that will be a 2026 in the 2027 play for us. But yes, we -- a lot of good targets out there, but we would do cash anything this year.
Unidentified Analyst: And valuations on those targets, that changed at all? Or is it a strong market...
Dale Richard Foster: Yes. Here's how we start, Howard, and it's funny because we're being rewarded in the market for being a differentiator as our go-to- market, our multiples are a lot higher. But we still start in that 7 to 9 multiple. And then it all depends. If you look at Douglas Stewart, it was a much lower margin multiple because they were still concentrated with one vendor. We also look at the acquisitions as far as what vendors they bring in because we think that's the lifeblood of what we have inside of Climb and what we take out to the market. But we just started that. And then it's the give and take that what is that company really going to bring to us and can we actually expand? Can we actually get it to all of our territories depending on what they bring. But we started that. And as we paid more than the multiple we're trading at, no, we have not. So I know that's not a perfect answer, but the answer is it depends.
Unidentified Analyst: No, that's very helpful. So congratulations once again to you guys and to the whole Climb team on another outstanding quarter, just great job.
Dale Richard Foster: Thanks, Howard. Good talking to you.
Operator: And we do have a follow-up from Vincent Colicchio with Barrington Research.
Vincent Alexander Colicchio: Yes, Dale. So obviously, the business appears quite robust, but I am wondering any signs of economic headwinds, any delays, anything of that nature?
Dale Richard Foster: We do not see it, Vince. And I think it goes back to Howard's remarks that we are extremely small in our space. And you can say, hey, we're going to go to the $2 billion mark, but we're still small in our space. And if you look at -- we've spent some time with the Canalys team, which is an analyst group. And if you look at the overall IT market or IT services, we're talking $1 trillion to $2 trillion space. So lot of new entrants. We still see money flowing from the VCs into a lot of startups. We're still having a huge pipeline of vendors coming toward us. And I've talked about this in the past that we've had to go and find them. And over the last 18 months, it's they're finding us. So we don't. And I'll just talk about the downside for Q2. We lost Citrix. We announced that in Q1 of our Ireland Group when we acquired DataSolutions, the team was tracking very well in Q1 because we still have that. But in Q2, that was where the hole -- and here's what I will say. The sales teams have sales cycles and they have a lot of tools in their bag, if they're not selling Citrix, they're selling something else. We feel and we did not change our budget going into this, knowing that this is coming, that we think we can fill that hole as well. So kudos to our overall team, they're just performing. And looking at, hey, okay, I don't have this to sell anymore. I'm going to take this new product into my customer base.
Operator: Thank you. And this concludes our Q&A session. I will now turn the call over to Mr. Dale Foster for closing remarks.
Dale Richard Foster: Thanks, operator. Once again, thanks to all of our shareholders for supporting us and also to the greater Climb team on their excellent performance. They've been continued to focus on growing Climb. And with that, we'll end the call. Thank you.
Operator: Thank you. And this does conclude today's program. Thank you for your participation. You may disconnect at any time.